Operator: Good day, everyone, and welcome to Eagle Materials First Quarter of Fiscal 2018 Earnings Conference Call. This call is being recorded. At this time, I would like to turn the call over to Eagle's President and CEO, Mr. Dave Powers. Mr. Powers, please go ahead, sir.
David Powers: Thank you, Charlotte. Good morning to all. And welcome to Eagle Materials conference call for our first quarter of fiscal 2018. We're glad that you could be with us today. Joining me today are Craig Kesler, our Chief Financial Officer; and Bob Stewart, Executive Vice President of Strategy, Corporate Development and Communication. There will be a short slide presentation made in connection with this call. To access it, please go to eaglematerials.com and click on the link to the webcast. When you're accessing the slides, please note that the first slide covers our cautionary disclosure regarding forward-looking statements made during the call. These statements are subject to risk and uncertainties that could cause results to differ from those discussed during the call. For further information, please refer to this disclosure, which is also included at the end of our press release. Before we get into the financial details of our first quarter, let me begin with a few observations about some of the things that stand out to me about the quarter. First, the opportunity to sell products across all of our businesses: Cement, Wallboard, profits, and Concrete and Aggregates continues to improve, and we're taking advantages of these trends. The underlying drivers of our businesses are almost universally toggled in the up position and longer-term risk currently skew to the upside. Single-family housing starts, for example, continue to improve and have substantial room for growth. Household formation trends, combined with an economic environment of low unemployment, healthy job growth, and low interest rates, are a powerful combination. Most areas of the US are doing well, especially in the markets that we operate. Infrastructure investment is growing and could grow even more in the years to come. The only near-term headwind that we've experienced is with OCC prices. OCC, as most of you know, is the recycled paper raw material that feeds our Gypsum Wallboard paper machine. Historically, there have been episodic spikes in cost, and we're experiencing one now. Today, we estimate that the cost penalty to be absorbed by Eagle Materials, as reflected in our Republic Paperboard and American Gypsum results, could be in the vicinity of $8 million net for the entire fiscal year. We absorbed roughly $4 million of this during the past quarter. We continue to evaluate new growth and improvement opportunities but only pursue those that meet our disciplined, strategic, investment and returns criteria. We've also seen good value in our stock and recently have been repurchasing shares at a clip of roughly 100,000 shares per month. All in all, we had a really good quarter, in fact one that exceeded our internal projections. Going forward, we would expect our cement volumes to grow at about a 3% to 5% rate, our Wallboard volumes to grow in the mid-single digits and our profits volumes to grow around threefold this year, albeit from a relatively low comparable base. To the last point. We've continued to take advantage of the current general low on oilfield activity broadly across America to build our capabilities in the profits business. We're on track to complete our previously announced investments in drying and Class 1 rail capability at our flagship northern white sand line in Utica, Illinois, by the end of next summer. In addition, I'm pleased to announce that we have signed a definitive agreement to acquire Wildcat Minerals, a well-established frac sand distribution company. We expect to close within the next week. This acquisition reflects our continued commitment to invest in building out our network of low-cost reach to all strategically targeted shale plays. The purchase price for this Wildcat system, with transflow terminals across 9 states, is approximately $37 million, an additional benefit of this distribution system, as it will help us meet our customers' growing needs for cement and slag products as well. All of these actions, all aimed at forwarding our previously stated longer-term intention of building a five million ton, low-cost system of high-quality frac sand that can serve our customers' needs wherever the action is. As a final note, most of you well recognize that we are a fiscally conservative company. And that philosophy has served us well, allowing us to be profitable in protracted downturns and even more profitable in industry up cycles, such as we're enjoying today. And although we have a strong record of pursuing profitable growth, we do not pursue growth just for growth sake. Margins and returns performance do matter to us. We view ourselves as operating the company with an investment-grade mentality, and this has been reflected in our debt ratings by S&P. It's noteworthy that last month Moody's Investors Services upgraded our senior unsecured debt ratings to investment grade with a stable outlook. Their upgrade is supported by the strength of our financial ratios, which were among the best in the building materials rated universe, and our track record of superior performance. We are pleased and proud of this additional recognition. Now with that, let me turn it over to Craig for the financial details on the quarter.
Craig Kesler: Thanks, Dave. Eagle's first quarter revenues were a record $366 million, an increase of 23%, reflecting improved sales volumes and sales prices across nearly all of our businesses. Likewise, Eagle's quarterly earnings per share improved 22% to $1.13. As we highlighted in the earnings release, this quarter included $1.2 million of acquisition in purchase accounting-related cost, primarily related to the Fairborn acquisition as well as $1.5 million of cost associated with the installation of pollution control equipment at our Nevada cement plant. This next slide highlights the results of our cement, concrete and aggregate businesses. A 21% improvement in sales volumes, an improved cement, concrete and aggregates pricing were the primary drivers of the 26% increase in Eagle's quarterly comparative of cement, concrete and aggregates revenues. Operating earnings improved 40% to a record $49 million, reflecting improved sales volumes and pricing and the addition of the Fairborn business. Moving to our Wallboard and Paperboard businesses, improved Wallboard sales volumes and prices drove a 9% improvement in our quarterly comparative of Wallboard and Paperboard revenues. Quarterly operating earnings in our Wallboard and Paperboard businesses declined 4% to $49 million, reflecting increased operating cost at the paper mill due to the timing of our annual maintenance outage and higher recycled fiber costs. Eagle's Oil and Gas Proppants financial results improved from the prior year, and the near-term prospects for our frac sand business has improved significantly from this time last year, which is reflected in a 326% increase in our first quarter frac sand sales volumes. This improvement in sales volumes helped generate EBITDA of over $5.5 million during the quarter. Operating cash flow during the first quarter was nearly flat with the prior year, while capital spending increased to $16 million. Excess cash flow was used to pay dividends, repurchase shares and reduce outstanding borrowings. As Dave mentioned, we've continued to repurchase shares post the end of the quarter. This last slide reflects the cash flow generation results of our highly competitive, low-cost position. Our net debt to cap ratio was 34% at June 30, 2017. Thank you for attending today's call. We'll now move to the question and answer session. Charlotte?
Operator: [Operator Instructions] Our first question comes from the line of Trey Grooms from Stephens Inc. Your line is now open.
Trey Grooms: Hey, good morning gentlemen. Quick question on the Wall - excuse me, the Paperboard and Wallboard business with the cost there, and you guys noted $8 million expected for the year here from higher OCC, and it sounds like about $4 million was in the quarter. How were those costs allocated - or how should we be thinking about those costs being allocated by Wallboard versus Paperboard or is that - is it more weighted to one or the other? How do we think about that just for modeling going forward?
David Powers: It's about 60/40, 60 Republic, 40 American Gypsum.
Trey Grooms: Okay, perfect. And then the rest of the $8 million, so I guess the remaining $4 million of expected impact from higher OCC, the timing there, is it going to be more weighted to the June - excuse me, maybe the September quarter or the December quarter? How do we think about the timing there?
David Powers: I would expect $2.5 million next quarter and $1.5 million the following quarter.
Trey Grooms: Got it. Perfect. And then, as we look at kind of the other buckets, the other raw materials buckets that you guys have in both Wallboard and then also on the cement side, can you talk about any movement you're seeing there outside of paper that we need to be aware of? And I noticed there was some - and it's hard to say because some of the - with the outage there at Nevada if that kind of clouds things on the cost front on cement. But is there anything we need to be aware on the cost front as we're thinking about outside of paper on those two businesses?
David Powers: None of them really stands out to us. We're covered and locked in with synthetic gypsum. Natural gas, our energy is just up a little bit, but nothing noteworthy that we're concerned about.
Trey Grooms: Okay. Good to hear. Could you give us a little more color on this Wildcat minerals business, the frac sand distribution? You said nine states. Can you give us some more color on what basins that gives you? What that opens up for you there as far as basins, also maybe a little detail on how it can benefit the cement business that you alluded to there?
Craig Kesler: So Trey, so this is really gives us access to all the major basins up north to the Balkan, out east to the Marcellus and into Colorado, into Oklahoma, really expands the geographic footprint of our existing business. In terms of working with some of our other businesses, those are markets that we also participate in on the cement and the slag business. And so as we continue to build out this network in the cement business, this will be very complementary to that, and the opportunity to move products through those terminals is a good opportunity for us.
Trey Grooms: Perfect and then last one for me. As you mentioned on the last call, you kind of talked about your expectation for raws. And I don't want to beat a dead horse on the raw material front here, but your pricing in wallboard held in nicely. Your volume is up nicely in wallboard. I think both of those were very strong. And with the backdrop of costs, how should we be thinking about the margins on the Wallboard business? And then also on Paperboard, there's a lot of moving pieces there. And I appreciate the color you gave us on the OCC. But just any color you can help us with on thinking about margins in those businesses as we think about where pricing stands on the backdrop with all the cost commentary you had as well?
David Powers: Well, Trey, we're always trying to increase our spreads, whether we're working on cost initiatives or price initiatives. But the only one that really concerns me today is OCC pricing. That's the really only one that sticks out to me in the whole thing.
Trey Grooms: Got it. Okay. Well, that's helpful and I think you've given us enough to work with on that. So I really appreciate it and good luck and good job on the quarter as well.
David Powers: Thanks, Trey.
Operator: Thank you. Our next question comes from the line of Brent Thielman from D.A. Davidson. Your line is now open.
Brent Thielman: Thanks, good morning. Craig, on Paperboard, could you give us the rough cost for the outage this quarter?
Craig Kesler: Yes, almost $1.5 million was the impact in the quarter.
Brent Thielman: Okay, great. And then on the proppants business, did you guys see pricing pullback this quarter versus the March period? Or give us an update on what you're seeing out there?
Craig Kesler: Yes, Brent, if you look at our results, I think we talked about our net prices were actually improved in the frac sand business. The revenue calculation is on a gross basis, but if you look, freight was actually down, and so our net prices were up.
Brent Thielman: Okay. And then maybe just on Wallboard, your peers talking about the competitive marketplace out there. Any sort of thoughts on the pricing dynamics in that business, running into July, it's getting more challenging? What are you guys seeing?
David Powers: We're looking at this year kind of playing out about the same as last year, if you take a look at it. Our price for this quarter was up about $1 from last year same quarter. Our June price was up $2 this June versus June a year ago, and we're up $6 from our December quarter. So all in all, we see it playing out just about the same as last year.
Brent Thielman: Okay, go ahead. Thanks, guys.
Operator: Thank you. Our next question comes from the line of Scott Schrier from Citi. Your line is now open.
Scott Schrier: Hi, good morning. Thanks for taking my question. So cement volumes are particularly strong, especially given some of the weather that we've had in certain regions. Can you maybe parse out some areas of strength and some areas where maybe you did actually see some weather impact?
Craig Kesler: Yes, Scott, we did see good improvements across the whole system. Clearly adding the Fairborn business was a big change for a big part of that. But as we've said over the last few years, Texas continues to remain very strong, and we're seeing a lot of strength across all of our markets and into the point where Northern Nevada continues to be a bright spot as well. So the businesses are continuing to perform very well across the country.
David Powers: Scott, another point on that. We ship our oil well cement from four of our plants, and all 4 of our plants showed increased sales. As a matter of fact, our oil well cement sales this quarter versus prior quarter is up 68%, and it's up 120% from the quarter a year ago.
Scott Schrier: Got it. And can you talk about the joint venture? I feel like it's a recurring theme that you have very impressive margins each quarter, and I'm just wondering if - you also had the volume increase. Is that volume increase due to purchase cement at the terminals or the Houston cement terminal? I'm just trying to think about how we - the margin growth - the margin performance as well as pricing in some of the different markets that you have in Texas?
Craig Kesler: Yes, Scott, the plant sits in a pretty opportunistic situation. It's always had a very low-cost manufacturing base just given the technology and given its raw material access. That business continues to operate as it has very low cost. As you mentioned, we have some opportunities with our imported product in Houston and purchasing product there. So all - we have been sold out. We've remained sold out for the last several years. So really, the volume growth there does come from purchased product and to meet our customer needs. As Dave mentioned, oil well cement continuing to come back is a part of that story as well. But frankly, that's not surprising that Texas Lehigh [indiscernible] performs like it does. That's what we've seen for many, many years.
Scott Schrier: Got it. And one more. I wanted to ask you more bigger picture on frac sand and I know you're taking measures with the investment you announced. But we get a lot of questions about the frac sand business, particularly northern white sand, as we see a lot of other competitors investing in local brown sand. So just wanted to get a bigger picture outlook on how you look at frac sand in the - some of those Texas markets with respect to the northern white sand.
David Powers: We continue to believe that northern sand will have the broadest spectrum of applicability over the longest time frames across most of the shale plays plain and simple. There is brown sand. There is a room in the market for it. It's basically 100 mesh and it's in West Texas. And that market, in our opinion, is fully served.
Scott Schrier: Got it. Thank you.
David Powers: And by the way, we sell very little 100 mesh to West Texas.
Scott Schrier: Okay, great. Thank you.
Operator: Thank you. Our next question comes from the line of Jerry Revich from Goldman Sachs. Your line is now open.
Jerry Revich: Hi, good morning everyone. I'm wondering if you could talk about in Paperboard heading into next year. What are the prospects of you folks being able to price for the OCC volatility to more commodity-linked contracts? And do you have the opportunity to recover the - what is a $3 million or $4 million worth of headwind that you spoke about that you're seeing this year within the Paperboard business from that price cost spread?
David Powers: Jerry, yes we do. And our contracts are written, and there's basically three of them, and American Gypsum is the largest one. And the way that's - it's tied to indexes. And the following quarter after we observed an increase or a decrease, we pass that credit or charged back onto the customer the following quarter, the majority of it, by adjusted price. So if - and when OCC prices go down, it'll be a windfall for us.
Jerry Revich: And if they stay steady heading into next year, will you make up for this $3 million or $4 million headwind from this year? In other words, is the $3 million to $4 million just timing based on when you mark to market on those contracts?
David Powers: It is the timing, and the majority of it would be made up. Yes, Jerry.
Jerry Revich: Okay, thank you. And then just want to make sure I understood your comments right on the proppants business. Did you say for the full year you expected volumes to triple?
David Powers: That is correct.
Jerry Revich: And can you talk about where you folks are gaining share? So - obviously, coming off of a low base, but that's much more significant growth outlook than what we're seeing for the other major sand companies. Can you talk about is that all going into the Permian? And any additional color on what's contract out of that, anything you can share on that front?
David Powers: I can tell you a little over 50% of our product right now is going to the Permian. And we're seeing increases in a lot of our markets, and we've made some pretty good penetration with some pretty good customers going forward as well.
Jerry Revich: And have you folks been able to get the business in Eagle Ford ramping up?
David Powers: Not at this point, but we are looking at it.
Jerry Revich: Okay, alright. Thank you very much.
Operator: Thank you. Our next question comes from the line of Jim Barrett from CL King & Associates. Your line is now open.
Jim Barrett: Good morning. Dave, given the fact that the Wallboard industry was up 4% in the second quarter, can you tell us how much - and your growth was 11, how much of - what was the market growth in your markets relative to your growth?
David Powers: Sure. I'll be glad to. We were fortunate the markets we participate in heavily were up a little over 7%, especially the mountain, where it was up, I believe, 14%, and we have a pretty good presence in that market, so those two things helped us.
Jim Barrett: I see. And then secondly, can you - we saw that cement pricing was up 6% in the quarter. Can you give us your most current update on how cement pricing, what announcements have been made and what your expected realization will be of cement pricing over the second half of the - on a - over the summer into the fall?
David Powers: We have made no announcements at this point. We've had some competitors make some announcements, but we have not made any decisions at this point.
Jim Barrett: I see. And it sounds contrary to one of your competitors speaking of pricing that a midyear price increase of any kind in Wallboard, it sounds like that is not a strategy that the Eagle is pursuing?
David Powers: We have no comment on that. We've made no decisions. And if and when we do, our customers will be the first to know.
Jim Barrett: Well, thank you very much.
Operator: Thank you. Our next question comes from the line of Adam Thalhimer from Thompson Davis. Your line is now open.
Adam Thalhimer: Hey, good morning guys, nice quarter. Can you comment on the timing of Paperboard sales? Do you expect those to snap back in Q2?
Craig Kesler: Yes, Adam. As we mentioned in the press release, those sales are - it's - and as Dave mentioned, there's really three primary Gypsum-facing paper customers. And as Wallboard demand continues to improve, we'd expect to see those Paperboard sales volumes emulate that. This was just a timing for one of those customers as they purchased.
Adam Thalhimer: Okay. And then on the Nevada plant, are the costs in Q2 kind of similar to Q1? And can you comment at all on the eventual benefit?
Craig Kesler: Yes. So in terms of - we will see a similar impact in our September quarter as we did this past quarter as we begin the tie-in of that project in the August/September time frame. And as we mentioned in the press release, we've installed some pollution control equipment that enables us to burn some solid waste fuels in the future, and those are cheaper opportunity than some of the solid fuels that we've historically burned there. So as Dave mentioned, in the beginning, we're always looking to reduce our cost, and this is good opportunity for us at the Nevada cement plant.
Adam Thalhimer: And do you see any cost from that project going into Q3?
Craig Kesler: Don't expect to see that, no. It'll be tied in later this summer.
Adam Thalhimer: And then lastly, just what's your experience with this - with these OCC price spikes in terms of how long they typically last?
David Powers: Sometimes they're just the spike lasts a couple of months. Sometimes they're a little bit longer. This is a unique - caught us a little bit off guard. Going forward, I expect it to flatten out and maybe dip a little bit before the end of the year, but I don't have a great crystal ball what people are telling us to expect.
Adam Thalhimer: Great, thanks guys.
Operator: Thank you. And at this time I'm not showing any further questions and would like to turn the call back over to Mr. Dave Powers for any closing remarks.
David Powers: Thank you, Charlotte. We appreciated everybody's participation in the call. We look forward to seeing you in the fall.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Everyone, have a great day.